Operator: Good morning. My name is Kim and I will be your conference operator today. At this time, I would like to welcome everyone to the Dundee Corporation Q4 and Year-End 2017 Conference Call and Webcast. [Operator Instructions] Mr. John Vincic, you may begin your conference.
John Vincic: Thank you, Operator. Good morning everyone and welcome to Dundee Corporation’s 2017 fourth quarter and full year results conference call and webcast. The company’s financial results were issued last night and are available on our website at dundeecorporation.com. Before we get started, please be advised that the information discussed today is current as of December 31, 2017 unless otherwise indicated and that comments made on today’s call may contain forward-looking information. This information by its nature is subject to risks and uncertainties and as such actual results may differ materially from the views and expectations expressed today. For further information on these forward-looking statements, please consult the company’s relevant filings on SEDAR. Also please be reminded that all currency amounts discussed on today’s call are in Canadian dollars unless otherwise stated. Our presenters today are Jonathan Goodman, Dundee's Executive Chairman; and Lucie Presot, Executive Vice President and Chief Financial Officer. Joining them for the question-and-answer session following the conclusion of the formal remarks will be Richard McIntyre, Executive Vice President and Chief Operating Officer. And now, I would like to turn the call over to Jonathan Goodman. Jonathan?
Jonathan Goodman: Thank you, John. And thanks to everyone for joining the call this morning. As many of you know, I am relatively new with my current role having rejoined Dundee in mid-January of this year, and having left the company nearly four years ago. My decision to return to Dundee was influenced by a number of reasons. First and foremost, I returned to help a family member my brother David who took a medical leave. I am happy to report the recovery is going very well and he will provide you with some [indiscernible]. Secondly and most importantly, I feel that we have a tremendous opportunity ahead of us. Much of my carrier has been spent as an investor in natural resources sector in both mining and oil and gas. My experience ranges from establishing early stage exploration companies to executive leadership and board level positions to establish international multi mine producers. Third, I have also worked on the capital market side of the business of being dozens of companies raise millions of dollars that help fund that growth. This experience to my background and resources are very relevant to some of the new strategic initiatives that I’ll discuss in a moment. So let me provide a high level overview with some of our key establishments since 2017. While our business remains in a period of transition, there was some positive events to acknowledge. First, we are happy to report that Parq Vancouver is now fully operational and start to continue progressing through the ramp up phase. After its successful soft launch in September of last year, we spent much of the fourth quarter finishing touches on the project. This included completing the construction of all 511 hotel rooms, opening The Victor restaurant one of the top restaurants in Vancouver just in time for Christmas. As 2018 began, Parq Vancouver was in a position where all hotel rooms were available for occupancy and all meeting facilities were ready to welcome conventions and large groups. This is important as we really due to start 2018 as a beginning of the ramp up period of Parq. To that end, we are pleased with the progress we are seeing today, and as spring approaches in Vancouver we expect hotel occupancy rates and visitor traffic to increase significantly and we’ve already seen that. Moving ahead we feel the initial guidance that we gave last year on an EBITDA target of $75 million to $100 million is achievable prior over time. As we ramp up, it may take us a year to a year and half to get to that level. For 2018, we are projecting EBITDA Parq of between $50 million and $75 million. Each month we have been seeing improved performance since opening and we’re encouraged and happy with the results to-date. More importantly the project is now out of phase and begin to look at various financing alternatives to help improve capital structure and also enhance the potential for long-term profitability projects. Late last year, we also succeed to de-risk our investment in Chad with the sale of the assets of UHIC, United Hydrocarbon's to Delonex a private energy company with expertise in Sub-Saharan in Africa. We have successfully repositioned this business. Today UHIC cost structure is significantly reduced and future bonuses for oil production and royalty payment provides for attractive optionality, as well as the potential to be world-class producing asset. Delonex has been advancing it work plan and we are encouraged by the progress they are making. Our expectation for a well to be drilled in the calendar year 2018. Within Dundee's investment portfolio we have seen strong performance in 2017. Market appreciation from investments totaled $15.3 million in the quarter and $63.4 million for the year. In 2017 we also success to address our financial position at the corporate level, this included the elimination of all bank debt resulting in improved liquidity. We ended the year with just over $40 million in cash at the corporate level. We also success to lower our overall expense profile. This is achieved by lowering interest payments related to the time and to bank debts, sampling of preferred shares and we also reduced the headcount across the organization and continue to rationalize our real estate footprint leading to further cost reduction. In spite of the challenges resulting from the transition, we and the team remain focused and delivered some positive results in 2017. Now let me turn to a brief discuss of some key strategic initiatives I'm introducing this year. First, we’re undertaking a full review and evaluation of all portfolio holdings at Dundee. Today the number of investments at Dundee is close to 100. This is a mix of private and public companies across spectrum of industries including financial services, energy, mining, agriculture, real estate and pharmaceuticals .Simply put, the portfolio is too broad and lack of focus. As part of this review we want to work as a team to identify those investments that have the best potential to deliver attractive returns. Once that is done, we want to ensure our most promising investments regardless of industries are getting the management attention and capital needed for success. And those investments which show me the criteria will be dealt with. We look to divest our positions more aggressively than in the past. Next we are relaunching a resource focused capital market platform. Dundee has a long legacy of successfully investing in the mining industry and this recognizes an international leader in that resource investment. Closing on that legacy we want to return to our root through the streamline capital market offering. To support our reentry to capital markets, we have hired a team of professionals in Vancouver who will be actively involved in financing and strategic advisory services in the mining sector. We welcome the team - there is a team of season and banking professionals Rick Cohen, Rob Klassen and Olav Langelaar and their associate, Andrew Nelson. They’ll be joining us on April 2, and we look forward to being a big part of the team. And finally, I will continue to make expense reductions a key strategic priority at Dundee. As our business evolves, we need to continue to see efficiency. My brother David began the work need to adapt for the past profile more it came to a holding company. I will continue that work and make more steps towards aligning the size of our business and overall means. I’m excited about the strategic initiatives and the opportunities they will present. Steps have been taken in the right direction and with our renewed focus in some areas I am confident we can accelerate the pace of change. Now I’d like to turn the call over to Lucie Presot for the financial review. Lucie?
Lucie Presot: Thanks very much Jonathan and good morning everyone. Consistent with my quarterly remarks, my comment today will center round the company’s operating performance during 2017 as reflected in our financial statement. We are reporting a loss to the year of $70.4 million compared with the loss of $150.7 million in 2016. After accounting for $17.9 million of losses for charge attributable to non-controlling interest in our various subsidiary, the net loss attributable to our shareholders was $52.6 million in 2017 seeing a loss of $1.01 per share. In the prior year, the loss attributable to our shareholders was $147 million or a loss of $2.62 per share. The determination of our operating performance continues to be quite complex and as we shared with you in the third quarter conference call, it’s the result of some significant gains offset by some significant losses many of which are one-time items that relate to specific transaction or events that happened during the year. In order to better understand what transpired throughout 2017, we look at operating performance in three components. First, we’ll look at the large transaction oriented gains and losses and their effect on operating performance. We’ll follow that with a brief discussion of the effect of our portfolio of investments including mark-to-market gains during the year and the results of our equity candid investments. And finally, we look at underlying operations including the operating results of our subsidiaries, as well as head office costs. So let’s start with the discussion of the transactional gains and losses first. As previously reported during the third quarter we booked the sale of United Hydrocarbon's production sharing contract to Delonex Energy. And so doing, we removed all of the net assets related to that business and replaced them in our financial statements with the net assets that we received. United Hydrocarbon's operations prior to the transaction were in U.S. currency and we had deferred foreign exchange gains related to those operations in other comprehensive income. When we completed the transaction with Delonex, we crystallized those foreign exchange gains and included in our 2017 operating performance at $64.4 million non-cash foreign exchange gains related to this transaction. You will have noted that we’re reporting a loss from two business lines by two business lines that we have discontinued of $69.2 million this year of which $15 million is attributable to our shareholders. During the fourth quarter, we had temporarily shut down the facilities of our chicken processing plant operating as Tender Choice. The shutdown was required in order to comply with repair and maintenance work identified by the Canadian Food Inspection Agency. There were significant strides made in these necessary improvements when a catastrophic fire in early December essentially rendered the facilities inoperable. Blue Goose had drawn on a special purpose credit facility to partially acquire the assets of Tender Choice and following this fire, the Tender may demand on Blue Goose before repayment of the loans all of which resulted in the Tender Choice asset being placed in receivership. We do not expect to recover any amount under the receivership structure as any insurance proceeds would be applied first to the senior lender. In our financial statements, we’re reporting a loss of $30.8 million relating to the full liquidation of these assets. Also included in discontinued operations is Dundee Energy subsidiary, Dundee Energy Limited partnership. These assets continue to be under a court approved sales solicitation process which we anticipate will be completed in short order. In our financial statements, we full impaired the pool of undeveloped properties which resulted in a loss of $90 million and we also impaired deferred income tax assets worth over $40 million as we do not anticipate that will be able to benefit from these assets in the future. Our total loss in respect of these operations were $38.4 million including the write-off of exploration property and deferred tax assets. Unlike the liquidation of assets in Tender Choice, we continue to carry the assets and liabilities of Dundee Energy Limited Partnership on our consolidated financial statements, although they have been classified as held for sale. At December 31, 2017 we’re carrying these assets at a negative caring value of $2 million. All three of these transactions have caused significant volatility in our operating performance. We believe that all three are onetime items and that they are not expected to recur. Our investments fall into two categories. They are either called investments on our balance sheet or if we're deemed to exert significant influence over their operating results, then they are classified as equity accounted investments. Let's look at the investments first. In our financial statement each investment is mark-to-market with changes in fair values reported directly in our net earnings or loss. In 2017 market depreciation and the value of our portfolio increased our earnings by $63.3 million, about 45% of the mark-to-market gains gained from our investments in 36.4 million shares of Dundee Precious Metals which are appreciated by $27.3 million in the period. If we compare this to the 2016 results, we experienced market appreciation of only $8.6 million. As we have indicated to you in previous reports, these changes which were largely driven by trends in information in equity and capital markets that continuously caused substantial volatility in our operating results. At the end of December 2017, the value of our investment was $385.2 million of which $220.5 million was in publicly traded securities. During 2017, we generated proceeds of $133 million from our portfolio including $106 million from the sale of acquisition in Dream Unlimited which we had completed in the second quarter of last year, and the proceeds of which were used to fully repay amounts that we had borrowed under our credit facility. At December 31, 2017 our equity accounted investments had an aggregate caring value of $110.7 million and during the year we reported a loss in these investments of $54.4 million. As you heard in our opening remarks this morning, we open the doors to the casino At Parq Vancouver in late September 2017. Parq is reporting an operating loss for 2017 of a little over $13 million reflecting operational cost associated with the commencement of its operations. We are expecting that these cost would stabilize over the next 6 to 12 months. To-date we have invested about $110 million into Parq Vancouver and we anticipate that up to a further $20 million to $25 million will be required in order to provide the working capital needed for advance this project to its best capacity. We anticipate that there will be an additional injection of cash made shortly from the partners in this venture. In 2017 and as Union Group refocuses its business strategy to deal principally with liquidity issues, we wrote down our carrying value in Union Group to $11.4 billion resulting a loss of $44.6 million to our income statement. The $11.4 million represents our share of Union Group's investments in ICC Labs less at 30% discount to reflect current AFCO arrangements and possible costs associated with the investment. ICC Labs continues to make significant strides in the Cannabis industry. During the fourth quarter, it entered into a pre-sales agreement with the large Mexican company that manages a large number of pharmacies throughout their networks. Under the agreement, ICC is expected to export 120,000, 30-milliliter bottles of CBD oil. That sequential year-end ICC announced that it will increase its post production of CBD extraction facility from 50,000 kilograms 150,000 kilograms of dry CBD flowers. This will allow them to produce up to 8 million 30 milliliter bottles of the CBD oil and another 3000 kilograms of pure CBD crystals. The GMP compliant laboratory is expected to be fully operational by the second quarter of 2018. ICC also announced that it was granted licenses to cultivate psychoactive candidate plants for domestic and international distribution for The Republic of Colombia. To that end, I can see now the construction of 124,000 square foot Greenhouse in that country. Aside from its continued holdings at ICC, during the first quarter of 2008 Union Group raised US$115 million in Union Acquisition Corp., a newly formed blank check company listed on the New York Stock Exchange under the symbol LTN. The entity was formed with the intent of affecting a business combination targeting businesses for feebly in but not limited to entities in Latin America. Union Group is moving ahead with other strategies that are designed to unlock some of the value in its other portfolio holdings, including its holdings in hydro power and oil and gas. If these initiatives are successful, the corporation may reverse its current impairments in the future. We also impaired our investment in Cambridge during the fourth quarter. The state of California has recently investigated medical practitioners over concerns of excess feelings and treatments under workers compensation insurance arrangements. This has significantly hindered Cambridge's ability to select unfunded receivables as they are heavily invested in California. We reported a loss of $8.4 million on this investment. So our $564.4 million foreign exchange gain in United Hydrocarbons, our operating subsidiaries are reporting pre-tax operating earnings from continuing operations of 6.2 million in 2017 compared with pre-tax operating losses of $103.2 million in 2016. United Hydrocarbon is reporting pre-tax losses adjusted for the foreign exchange gains of $22.5 million in 2017 compared with pre-tax losses of $12.8 million in 2016. Current year results include approximately $17 million of expenses which are directly related to the transaction with Delonex. Given investment council grew its asset under management to 194.1 million at December 31, 2017 compared with 173.8 million at December 2016. Pre-tax operating losses decreased to 6.7 million in 2017 from 11.6 million in 2016 evidencing the streamlining of this business strategy. Blue Goose is reporting revenues of $28 million in 2017 and a pre-tax net loss of $12.5 from its continuing operations. In 2016, Blue Goose generated revenues of $52 million and it reported a pre-tax loss of $13.1 million. You will also note that in our real estate subsidiary, Dundee 360, they generated a small pre-tax operating loss of $700,000 in 2017 but in the prior year, Dundee 360 reported pre-tax operating losses of over $50 million because of significant restructuring charges relating to its hospitality division, as well as developing contacts with the Parq Vancouver project. Let's move now to head office cost. At the head office level, we continue to see the results of our cost containment effort. G&A cost excluding stock based compensation decreased to $16.2 million in 2017 compared with cost of $21.6 million in 2016. In the fourth quarter, our operating costs were $5.8 million slightly above the $5.5 million of G&A cost incurred in the fourth quarter of last year. However G&A cost in this quarter included almost a million dollars of cost associated with the final closing of our stock and are not expected to recur in the future. Subsequent to December 31 2017, we paid $7.6 million to redeem our Series 5 preferred shares that were tendered under the redemption terms. As of today's date, we have $82.3 million outstanding under these arrangements and we have a $130 million to Series 2 and Series 3 rate reset preferred shares. Our guidance on interest and dividend, cash requirements remains unchanged from what we recorded to in September and we’ll be just over $30 million annually. In September we also reduce our guidance in respect of the burn rate at head office to approximately $16 million to $18 million per annum. We indicated that we intended to significantly reduced our leased premises cost and during this half quarter we had made some significant strives on that front. We expect to see that benefit during the second half of 2018, and therefore in the short-term our guidance remains unchanged from what we reported to you in September. Finally, as we have done each quarter, let me walk you through the change in our cash resources during 2017 as the entire year. We started the year with cash of about $1.6 million. Operationally, we generated interest and dividend income from our portfolio of about $10 million and that was offset by operating cost of about $16 million. We paid dividend of $13.7 million and interest of about 1.6 million, and that was paid mostly before we repaid our debt. We received cash from sales or maturities of investments of $132 million. We received another $4 million from the sale of other assets. About $20 million of that was reinvested back into the portfolio of which – about 11 million of that related to Parq Vancouver. From the proceeds we repaid $54 million of debt and we now have zero debt on the balance sheet other than the Series by preferred shares. Our subsidiaries required net cash from head office of about $2.3 million in 2017, and that leads us to cash resources at the end of 2017 of about $40.5 million and no debt other than our existing Series 5 preferred share. This concludes our annual financial review and I will now turn the call back to Jonathan. Jon?
Jonathan Goodman: Thank you, Lucie for that thorough update. Let me recap our top priority for 2018. We are excited about reentering to capital market. Our return is well time as there are many opportunities in the resource sector. And we believe that our service offering will position us uniquely in the market to succeed. A review of our entire portfolio of holdings is underway. Our goal is move quickly in identifying opportunities to rationalize the portfolio in an orderly manner. The ramp up of operations apart is going well and we believe that we are on track to make this a great asset. Of course the ramp up will take at least 12 months. We will continue to concentrate on lowering the overall cost profile of the business. Much has been done already and more efficiencies will need be found and as the business evolves and the size of the business evolves. Finally, we are putting in place rigorous capital allocation strategies to help guide us as we begin to make new investment in the resources sector. Before we begin the Q&A session, I’d like to thank our management team and all employees for their efforts in 2017. Both me and my brother David have acknowledge the challenges facing our business, its not just a small and simple portfolio, on the contrary it’s a broad and diverse and require significant management time and oversight and require support of people across our organization. This extended period of transition of our business is navigating has not been easy, though through at all, our team will remain committed and focused and for that we thank them. Now we’d be happy to answer your questions. Operator?
Operator: [Operator Instructions] Your first question comes from the line [David Wilcox] from ElevenPoint Capital. Your line is open.
Unidentified Analyst: Just a question on the strategic review process, any view on estimated time line to complete; and as part of that process how are you thinking about buying back stock or preferred shares?
Jonathan Goodman: We try to buy back some preferred shares in January, we only got half of what we did for, but those that know me know that I’m a big fan of issuer bid, but at the same time we have $82 million of redemption coming out of from both a little over a year and a quarter and part of the whole review process is managing our cash and getting ourselves in a position to deal with the managing our liquidity. So, until we have that whole picture put together it’s unlikely that we’re going to be significance on the issuer bid. That doesn’t mean it's now drop into a certain, it may not by a bid but before we get to put significant capital to that, we have to make sure that we have to follow the plan.
Unidentified Analyst: And any color on timeline to complete the review process?
Jonathan Goodman: As fast as we can, I mean, some of these things do take longer than you with, but I think the process certainly within the next - by the end of the summer we should have it complete.
Unidentified Analyst: And then, just on Blue Goose, I seem to remember from a couple of calls ago, maybe a year ago, there was an appraisal done on the land there. Is there any updated appraisal land value at Blue Goose? And then, are you thinking about potentially monetizing the assets there with the recent challenges?
Jonathan Goodman: Richard, do you want to jump in there?
Richard McIntyre: There’s been a - I think back in 2006 there was a valuation for the land by $101 million, since then there’s obviously been some of the biggest fires in Western Canada that we've experienced, so we’re currently in the process of trying to assess the damage and obviously there was a significant amount of snow etcetera on the land right now. So we have to wait till later on then the year to make that happen. So we actually got team of people out there that we’re trying to understand the extent of what happened with the damage et cetera, and obviously at the same time we’re trying to figure out what is the best course of action for that particular asset which is a great asset but obviously it's a low margin business, and we have to think about that accordingly.
Unidentified Analyst: And that’s all agricultural lands?
Richard McIntyre: Yes. Mostly agriculture land, yes. That's 40,000 acres of land and there’s a grazing land attached to that.
Unidentified Analyst: And then just another question if I might, just on Dundee Securities; any update on the ability to access cash in that business at year end, you had around $18 million of cash in that business?
Jonathan Goodman: Well, we owned Dundee’s Securities out rate. So other than regulatory capital which I believe is less required - is less than 18 we have 100% ability to access that cash.
Operator: Your next question comes from the line of Stephen Boland from GMP Securities. Your line is open.
Stephen Boland: Just, I guess, Jonathan for you and a follow-up on the previous question about the strategic review. I mean, David had talked over the past year or two about going through a strategic review and reducing the number of holdings. Is this work that you’re doing something different or is it just a continuation of what David is - David's vision was? Or is this you've decided that under your leadership that you want to revisit some of the reviews that may have already been done?
Jonathan Goodman: Certainly I’m not taking any way from David but I’m kind of stepping in back into this company and I need to do a review from my own clarification anyway. So it’s a complete restart and we’re looking at every file with fresh eyes literally.
Stephen Boland: And sorry, I don’t if its - maybe Lucie, just in terms of you gave some guidance, so could you review that the guidance in terms of what do you think your capital needs are for 2018 notwithstanding the Jon said about the redemption, but can you just run those numbers again, the 2016?
Jonathan Goodman: The redemption is not 2018.
Stephen Boland: Yes, 2019, sorry for the redemption. Just for 2018 what do you think your capital needs are? Or and what your cash burn?
Lucie Presot: Yes. So for interest and dividend we’re estimating just over $13 million and that includes all of the dividends on all three series of our preferred shares. And then our cash burn at head office is probably somewhere between 16 million and 18 million, and we should be able to revise that downward as we move forward with the changes we've made on these premises. But right now we’re - our guidance is going to stay 16 to 18 in the short-term. And we're also going to need some money to be put into our subsidiaries, so we’re going to probably give guidance of around $5 million for the year. And I think we’ve also indicated through this call that we’re looking to put or that casino probably need another $20 million to $25 million that we’ve budgeted for that as well.
Stephen Boland: So that casino, that was from all partners are just from Dundee that 25?
Lucie Presot: That’s probably going to be what Dundee is going to put in. It will depend on how much the other partners choose to participate in.
Operator: Your next question comes from the line of Jayme Wiggins from Intrepid Capital. Your line is open.
Jayme Wiggins: I’ve got a few. First on Parq, the hotels have received rave reviews, the casino not as much. I've seen some complaints about the transportation situation to in from the property. And there's also been a great deal of coverage on money laundering in British Columbia casinos. So I’m wondering how you would expect these types of things to affect Parq's business?
Jonathan Goodman: Richard, do you want to speak that or should I? Okay, I get no response, meaning he left to me. I have only seen the rave reviews, I mean, so if we could close on the once. But casino has been very well received. It’s a much higher end casino than existed before and just looking at the numbers and their conversations with the regulators, I think the casino is actually ramping up quite nicely. The hotel is first-class. The JW Marriott is a top of the line. And I’ve spent numerous evenings in both hotels there including the Douglas and the first-class. I’m trying to remember what the rest of the question was.
Lucie Presot: Transportation.
Jonathan Goodman: Transportation, there’s no question, there is a problem with getting taxis in of the times that have gone around I have experienced it myself, but I think they’re working through that. As far as the transportation having taxis, is a very regulated system but I don’t expect that to have a large impact. The hotel, well, it’s on the edge of Downtown Vancouver, it's still part of Downtown Vancouver. And my friends who have met me there, said it's just somewhere little between 10 and 12 minutes to walk there and their offices are right in the bench off center. So, its - and right besides the Rogers Centre and the Football Stadium and there’s a lot of the business that comes from those events as well. So, overall I think we are very happy with the way it’s progressing.
Jayme Wiggins: And on the money-laundering it seems like it's affected one of your competing casinos there?
Jonathan Goodman: There’s no question. The AML issues are real issues and I don't think they probably affect us as much as necessarily other casinos because we’re the new kids in town and we’re operating right through the letter of the law and making sure that we don’t have those issues. And from what I understand those issues were much more prevalent in the industry five years ago than they are today. But there’s a lot of regulates coming in today. And the management team is working very hard to stay ahead of the curve. And I think that it’s very rarely and we’re all living and heading to a taxis that driving, so it is very rare where people walk into a casino with the bag of cash. And that’s as long as the money get - a lot of money can get wired over probably through proper channel following the process. So I think certainly there is a short-term effect, but I think over the long-term the industry will work through it and make sure that all of the gambling is done with little money.
Jayme Wiggins: Thank you for providing the capitalization table for Parq in your MD&A. It looks like through the equity there was over 915 million of investments. And I think you referred to 75 million EBITDA when it gets to a steady state maybe more. Is it fair to say that I guess that implies - you're putting 12 times EBITDA multiple on that to not have to impair your Parq investment on your balance sheet?
Lucie Presot: I can’t speak to the 12%, but you have to look at two different things, Jayme, I’m just going to talk technical accounting language for you now. Yes, that we would have an impairment if we thought the asset was impaired, but we are carrying it through equity accounting. So unless there is some type of indication that’s high, we would not impair it.
Jayme Wiggins: Does it makes sense to maybe consider more aggressively about selling the hotel side of that, while the market still seems to be fairly hot for those types of assets?
Jonathan Goodman: I think he can feel comfortable that we are looking at all alternatives here. I think we recognize that the capital structure needs to be reassured. The nice thing is that the first-class asset and the first-class resorts there’s a lot of people that are looking at in a lot of different groups, its clearly is a trophy asset. And what you’re saying is very valid consideration and its one of the thing that of course we’re looking at.
Jayme Wiggins: Just a couple of more from me. Thank you for the time. You’re getting back into the capital markets business which - please correct me if I'm wrong, but it wasn't very lucrative for Dundee in recent years? So why are you changing your mind in such a short period? I'm struggling to see why this is a good idea. It sort of comes across as Jonathan's running things right now and maybe he had a different view than David had?
Jonathan Goodman: Well, the short answer is everybody has a different view than everybody else. But the reality of it is, the capital markets group of us was very lucrative for us in the early years and as I say, getting back into it, we’re not getting back into the same way we were in. We were in to it with a full service full service, the full service brokerage, sales, trading, research, banking, you name it, we did it and that had a very large overhead to it. We are putting in a handful of investment bankers across a very strategic sector where we already have a lot of investments and we are working to cherry pick some investment banking opportunities, hopefully where we’ll put some of our own capital as well and probably not have a stress to do as many deals as we can. We’re trying really focused on doing really good one, where maybe the fees will cover a bunch of overhead, so we’re going to make a real money by being good investment. That is a different strategy than we had before.
Jayme Wiggins: And then the last from me, I’d ask when the last time the team can point to value creation, really any of Dundee’s significant assets, I mean, its news about Union Group is just following a string of disappointments. You’re impairing Cambridge, Blue Goose is been a disaster and now Tender Choice is zero. There's still a long way from getting your money back on UHIC and even Parq, it sounds like you’re still going to be funding it in a material way. We all see where the stocks at close to two bucks. You have multiples of that in tangible book value. The company has been eating into its very large portfolio at a front overhead. So help us all understand why Dundee should even exist in its current form given the recent track record? When shareholders be better off if you considered maybe winding down the business and returning capital as opposed to depleting the asset base? Thank you.
Jonathan Goodman: Well, you said name and area where we’ve created value. I’d say that on the Osisko Mining, my brother Mark is on the call but he is - I don’t think he’s on the call where he could speak - listening in today. But Mark we're on the resource side of the business through the last three or four years. And Osisko Mining was a merger of four companies and an injection by Osisko we were probably the number two shareholder in three or four companies where companies that were under the Dundee umbrella and we worked very closely on that restructuring and I would say we did very well on that investment. [Indiscernible] and other investments that came through our group they are marking at team work with pivotally. And the third one which is probably in a little earlier stage which is getting going as company called reunion mining where the group worked with Dave one of the Dundee members of our team is on board over there and subsequent to us. Barry has come in as a significant shareholder of Union and working with on the exploration portfolio. So there is a three but your point is valid and that’s why I started to say thanks we’re across too many investments across too many sectors and with positions where we’re lead shareholder and we actually have in working hard with a lot of these companies origin the intention wasn’t to be working hard to lot of these companies. But that’s all part of the portfolio review strategy and part of that strategy is saying what you do well and where do you add value and you’re right the answer is that we do nothing and we do add value anywhere and the right answer would be to liquidate the whole portfolio and give the money back but I don’t think that’s true.
Jayme Wiggins: I mean just respond all things you said were investments in public companies right which I’ll give you that maybe you guys were instrumental in arranging transactions but where most of the value destruction has occurred is in the private consolidated subsidiaries and the equity method investments and that dwarfs the things you sided by many multiples right?
Jonathan Goodman: I hear you but you ask me to tell you where we’ve had success and then you’re saying will that doesn't really count. The reality is we have had success in those sectors and we’re taking a very hired internal look and I hear a lot of what you said I have been a shareholder in this company for a long time and I share a lot of frustrations. But that suggest the team doesn’t add any value I think one of the places that is very strongly impressed with is the quality of the team.
Operator: [Operator Instructions] Your next question comes from Luis Hernandez, Private Investor. Your line is open.
Luis Hernandez: Lucie I have a question based on what you said before you mentioned your estimate for head office it’s a 16 to 18 and then dividend and interest its third so that’s around 30 and then you said 25 million for parts and potentially 5 for other subsidiary that’s a total of 60 million. I was just wondering do you have any estimated inflows of cash to fund those 60 million on public I know you have 40 in cash but just wanted to understand that a little better?
Lucie Presot: Absolutely we have a strategy to make sure that we have the adequate cash available as we needed. And that may come from the rationalization that John is undertaking as part of his review of portfolio where we sell assets that he does not deem to record. So we do have strategy and we are following that strategy and do not anticipate any issues with meeting our commitments.
Luis Hernandez: And then could please clarify I’m not clear on the redemption of preferred on 2019 could you give us a detail on that please?
Lucie Presot: So series 5 preferred shares have about 83 million par value those series 5 preferred shares open up for redemption on June 30, 2019 as that par value. So at that time it shareholder chooses to they can put their series 5 preferred share back to us for redemption at $25 a share.
Luis Hernandez: So that would be an additional 83 million required a year and a half or so from now right?
Lucie Presot: That’s right.
Luis Hernandez: And then finally could you give us an update in how we should we think on the royalties from new hit in the future assuming similar oil prices right now $70 or something an assuming everything goes well obviously we received the 50 million from them – when they reached commercial or first order. And just to have like a thought on an idea of could those royal look like on a normal nice year or something?
Jonathan Goodman: I’ll attempt to answer this question it’s one those things that there is a – I guess there is a big question mark because yeah we’re looking at an area the Block H area and I’m not going off of any data that Delonex has given us we don’t yet have any and we understand the 3D seismic has been short. But our view when we looked at this area is that if you look at the area right next to it where there is some Chinese interest that has added - they have about 94% success rate in drilling on 3D seismic targets. We haven't seen this 3D seismic targets but with some of the 2D that we had and some of the stuff our estimation was that there was significant potential for multi-targets and the guys would tell you they saw smaller types of targets because it held maybe 150 to 200 million barrels type per target. And if anyone of those targets came on it would take 24 to 30 months to get to transportation tied in and that the average thing would produce at about 30,000 barrels a day. And at 30,000 barrels a day and at $65 oil our royalty would probably cash flow in United Hydrocarbon’s we earn about 85% at around $35 million a year. And so the question is they thought that blockade had a billion barrel plus potential that is they saw the potential for 6 to 10 different targets. So it’s quite an exciting play when you pull it altogether, but it’s still very risky but it’s one of the most exciting oil and gas plays we’ve ever been involved with. So it certainly has the potentials of being worth multiples of what we carry it for and until the drilling actually happens we’re not in deals in those exactly what is really worth and I think we get a payment once production starts as well.
Luis Hernandez: And then just finally just - a little bit more on the new capital market’s platform. Just wanted to have an idea on obviously this is just estimation and thoughts but could you comment on your thoughts on capital requirements, overhead and the potential upside for that side of that unit?
Jonathan Goodman: The overheads are very low. I think the office save plus all of the combined minimum guarantees and the people who have brought in are brought in on very much - an easy fulfillment mentality. So the overhead - the cost of they call the dry hole cost of this thing its less than $1 million a year it’s very small. The executives that we’re bringing on are first class season mining executives Rick Cohen who is the head of the group has been a colleague of mine on both sides of - as a business partner and someone who I work closely with for the better of I hate to say this 30 years now. He is one of the most affected guys in the mining industry and real town and his other partners there are in the same league in the same vintage they’re excellent people and first class bankers but it is a very little overhead cost and I knew what you kill mentality. And hope this is going to be on truly on quality.
Luis Hernandez: And no capital requirements could you comment on upside if you could?
Jonathan Goodman: Upside I mean there is a reality, but we don’t it going to be two types of business it’s going to be advisory business which is – its stop slogging and it decent fees and you can make money but anywhere we’re going to be doing financing business we’re not going to be recommending people anybody buy a stock or buy a security to make investment unless we’re prepared to write a check alongside which is not something a lot of capital markets professionals are prepared to say.
Operator: Your next question comes from the line of [David Wilcox] from ElevenPoint Capital. Your line is open.
Unidentified Analyst: Thanks for the additional question. Just on capital allocation with the additional with the theories two and three frac shares maturing in the near term. Help me understand why you’re not prioritizing buying back those prefs add $0.50 on $1 today over new investments?
Lucie Presot: So David just to make sure that we understand this the series two and the series three are rate reset for perpetual preferred share. So they don’t mature in the sense of having to redeem right they renew.
Unidentified Analyst: So they are available today at half of par in the market, help me understand why are not buying them back today over their investments?
Jonathan Goodman: We’re also not making any new investments today either so but the reality is the press that we’re going to focus more on are the ones that we do have to buyback in a year and quarter. And as I said I am not against buying back shares and I’m not against buying back preferred. But we’re not going to put capital into that until we have finished our portfolio review built out our long-term finance plan and have put the plan together for how we’re going to deal with preferred. Once we have that on place we’re going to look at everything.
Operator: Your next question comes from the line of Brett Reiss from Janney. Your line is open.
Brett Reiss: Dundee 360 had a robust topline growth and yet still marginally profitable. I don’t know if your review has progressed to the point why don’t we make more money with that division?
Jonathan Goodman: I certainly haven’t got the numbers yet but Dundee 360 is not through my review at this stage. It is a low margin business. I think their focus mostly on the refurbishment side of the business which is making a little bit of money but it is a very little margin business and I think that firm was restructured a little over a year ago.
Brett Reiss: Now Delonex with United Hydrocarbon to your knowledge are they are aggressively funding their exploration and drill program?
Jonathan Goodman: My understand is that they have been good partners and that they have spent - they have done everything as they said they would and things are moving forward quite nicely.
Brett Reiss: With respect to Dundee Precious Metals, are 25% holding there is that enough that if we want to be a catalyst for the company to be sold hopefully at a premium to its existing price, we have enough influence to orchestrate that?
Jonathan Goodman: That’s a complicated question, but I would say that Dundee core we own about 20.1% or 20.2% of Dundee Precious Metals and we don’t have any contracts in place. We can’t force Dundee Precious Metals to sign TA with the company just as we want to get a premium, that’s not in the bag. But I am the Chairman of Dundee Precious Metals. And I think I could comment the company we didn’t make a lot of comments about it it’s doing very well, its EBITDA somewhere around a little over $100 million U.S. on a yearly run rate basis. And I can tell you that we should have for the end of this year fully commissioned second mine in Bulgaria the Krumovgrad mine which over the first five years of its life will average about 100,000 ounces of gold and all in sustaining cost of $400 an ounce. It’s a very lucrative project and we’ll dramatically increase the EBITDA of DPM. And so we are very excited about the future prospect with Dundee Precious Metals.
Brett Reiss: And the smelter problems are all in the past?
Jonathan Goodman: When you're in the mining resource business when you’re approved to the problems and your problems for you, to talk about being in between the crisis, that’s a joke. The smelter problem that you referred to really wasn’t the smelter, I guess they were some problems associated with it, but the smelter problem was about buying a smelter that was retrofitted to deal with a very special type of ore. But needed the environmental enhancements to do it and when we bought the smelter the plan was to do the environmental enhancements in one way and as we got through the dialogue with the government we were at source. We had to increase the rate at which we got from point A to point - to the final point and that put a little more short-term financial pressure on the company and that’s really the smelter problem. And I think that is all behind us. The environmental upgrades have all been done. The asset class has been put in. The smelter is operating very well. It made positive EBITDA contribution last year. I think they're looking for it to continue to make a positive contribution but at Chelopech mine in Bulgaria is where the real money is made and the addition of the Krumovgrad mine is going to dramatically enhanced that and well the smelter is not going to make a great return it is the project that enables Chelopech to make a return to may because there is not a lot of other places to deal with the Chelopech concentrates.
Brett Reiss: And just one final one, the Osisko Mining every other day they come out with to this Lehmann very good exploration results and yet the stock is 50% of its high, why doesn’t the market give it a little bit more credit for those exploration results in your opinion?
Jonathan Goodman: In my opinion one of the things and we’ve alluded to it and I’ll go into a little more detail and thank you for the question because I’m going to use it as a segue into talking what I want to talk about and one of the reasons why we’re launching the capital market platform and we are looking for new opportunities within the junior mining sector is because within the junior mining sector we view that as a very dislocated market and by dislocated market, I refer to where asset prices aren’t properly being reflected even close. And what’s happened in the mining sector is in Canada we have something around 1,200 securities that call themselves mining. The top 100 securities and you mentioned Dundee Precious Metals is in the top 100 but Barrick right at the top of it. These are household names and all of these stocks are invested in by Quant Funds and ETF and they get a bit every day. So when you go below that top 100 companies, you find there is 1100 companies with an average market cap of around $10 million in there, and so, when you're dealing with the exploration type companies and plus a development companies, there’s a lot of really good asset embedded in very new companies that have gone virtually no bid. What we've seen is the mutual funds that use to fund these things are still in that redemption as money is going into EPS, the EPS they are providing bid for the Top 100 but they’re not providing anything. So notwithstanding the fact that we’ve got $3 copper, $1.50 zinc and we’ve got $1300 gold price, we still see the junior end report of the mining industry is extremely depressed and it's not just the Osisko Mining, its many companies along that, and we believe that there is some tremendous opportunities within that segment of the marketplace. And we've been doing this for many, many years. I've been involved for over 30 years on the union side on banking to running businesses, to investing in the businesses and running mutual funds and closed in fund money. This is an opportunity that has not existed in my career.
Brett Reiss: I agree with you. And I hope that encourages you to move expeditiously and getting out of the things you don't know, so you have more resources to get into these undervalued things that you do know. Thanks for taking my questions.
Operator: Your next question comes from Zach Liggett from FIM Group. Your line is open.
Zach Liggett: Most of my questions have been asked already. But I did have a question on wealth management business, haven't heard much about that on the call. I know we were kind of putting that on a side burner over the last few quarters in terms of trying to grow that business that we could do the review. Looks like the review is going to take longer, maybe with some new eyes, I’m just curious do you have any updates on what you're thinking with the wealth management platform? That’s my first question.
Jonathan Goodman: Well, I mean, thinking just - it has been put on the back burner. Obviously if there’s an opportunity that makes sense and we’ve looked at many of them over the past, we would pull it off the back burner, but it’s not on the forefront. And so, if we did anything on the wealth management from my perspective more on the investment management side, that would be to try and find partnership of capital to take advantage of sectors of the market where we really do have a lot of value. So, the capital market platform is one we’re looking in ways in which we can expand CMP, which is the close to the tax investing in Senior Canadian based exploration companies, that’s certainly another one. And obviously essential for expanding our investment right into junior mining companies with a tangible assets where you see a lot more upsize and downsize that would be a third one. But great wealth management I think that that's not where we’re focusing right now.
Zach Liggett: And then I guess just big picture question. Help us understand just a leadership question. You’re going to go through this - a new stage of this review. Who is ultimately going to make decisions on the portfolio rationalization process? It's just unclear for us from the outside that kind of see, is it you Jonathan that's going to be making decisions? Is David going to be coming back at some point? I guess, can you give any clarity on what you guys are thinking over the next year and who's going to be making these big decisions?
Jonathan Goodman: Well, I mean, right now the decisions are going to be made by myself. We do have a very strong board and obviously the board - we’re not going to make any - make the decisions without a proper review with the board. And I had a lot of dialogue with the board. And when I'd say, myself, I mean myself and the team, I mean, I'm a big believer in team and decision from my perspective tend to be things where you get buy in through a whole team of people based on the whole bunch of hard work and assumptions made going into it. So certainly David's input is on every file as is Mark and our Board of Directors and including the whole management team, I guess the final decision right now is mine and I'd like to stay that way.
Operator: There are no further questions at this time. I'll turn the call over to Jonathan Goodman.
Jonathan Goodman: Thanks again for joining today's call. We look forward to updating you again in May when we report our first quarter results. And hopefully we'll get to meet some of you when we do our Annual Meeting in June and when we come to whatever town you're in we’ll try and arrange a meeting. Thank you very much.
Operator: This concludes today's conference call. You may now disconnect.